Operator: Good morning. My name is Brigit, and I will be your conference operator today. At this time, I would like to welcome everyone to The Southern Company First Quarter 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session with instructions on how to queue up for questions. Please note that today's conference is being recorded Tuesday, May 1, 2019. I would now like to turn the call over to Mr. Scott Gammill, Investor Relations Director. Please go ahead, sir.
Scott Gammill: Thanks, Brigit. Good morning, and welcome to Southern Company's first quarter 2019 earnings call. Joining me this morning are Thomas Fanning, Chairman, President and Chief Executive Officer of Southern Company; and Drew Evans, Chief Financial Officer. Let me remind you, we'll be making forward-looking statements today in addition to providing historical information. Various important factors could cause actual results to differ materially from those indicated in the forward-looking statements, including those discussed in the Form 10-K, Form 10-Q and subsequent filings. In addition, we will present non-GAAP financial information on this call. Reconciliations to the applicable GAAP measure are included in the financial information we released this morning as well as the slides for this conference call, which are both available on our Investor Relations website at investor.southerncompany.com. At this time, I'll turn the call over to Thomas Fanning.
Thomas Fanning: Good morning. And thank you all for joining us. This morning, we reported earnings per share of $0.70 on an adjusted basis for the first quarter consistent with our estimates, despite significantly warmer than normal weather across our Southeast service territory. I am extremely pleased with our performance year-to-date, and believe we are well positioned to achieve our financial targets for 2019. In addition to solid financial performance, during the first quarter, we have executed on several strategic initiatives. Earlier this month, we announced the pending sale of the Nacogdoches generating facility to Austin Energy for $460 million. Additionally, we still expect to close the $650 million sale of the Mankato facility midyear. But probably, the biggest issue to report on this call is the completion of our Plant Vogtle 3 and 4 rebaselining efforts. Late yesterday, Georgia Power filed the rebaseline report with the Georgia Public Service Commission. That report confirms the regulatory approved in-service date of November 2021 and November 2022 for Unit 3 and Unit 4, respectively. Additionally, there is no change in our total estimated cost to complete. The rebaselining process has been valuable and has increased our confidence in meeting the regulatory approved in-service dates. The resulting weekly work plan has been recalibrated and supports our strategy of working to an aggressive weekly plan onsite, which is currently expected to provide a 6-month margin to the regulatory approved in-service dates. We now estimate that we would need to average about 100,000 weekly earned hours through the start of Unit 3 hot functional testing that's essentially the completion of the construction phase of the unit to meet the regulatory approved schedule. Each week we perform above that level should provide margin to the November in-service dates. Again, we continue to employ a strategy that maintains an aggressive work plan on-site with an objective or providing margin to the regulatory approved schedule. We have balanced the relationship between costs and schedule, and we have resequenced parts of the construction plan. That, plus the expected gives and takes the re-estimating the remaining work and the hours required to complete it, has changed the shape of our production ever. Our revised work plan requires a productivity ramp targeting an average of 160,000 weekly earned hours for eight months between the late summer of 2019 and spring of 2020. To execute this aggressive work plan, we expect to increase craft levels and support resources in a measured fashion similar to what we have accomplished over the last six months. Remember, this work plan currently provides six months of margin in support of our primary objective of successful completion of Units 3 and 4 on or before November 2021 and November 2022, respectively. Progress has continued on at the site as we've accomplished all of the project's key stated objectives for the first quarter of 2019, which included setting the top head for Unit 3 containment vessel. Overall, including engineering, procurement and initial test plan, the project is approximately 77% complete. For Unit 3 direct construction is 66% complete with a target of approaching 90% complete by year-end. Since beginning of the year, we've averaged approximately 130,000 earned hours per week with four weeks at or above 140,000 hours meeting our expected year-to-date total earned hours. In our slide deck for this call, we provided the most recent Schedule Performance Index, Cost Performance Index and percent complete metrics for your reference. These are all construction centric metrics based on the site's aggressive work plan. As we have discussed previously, perhaps now, the clearest indicator of success will be our progress in meeting key milestones related to system turnover and testing within a reasonable margin to the site work plan. For 2019, the three key project milestones for Unit 3 are initial energization, the start of integrated flush and testing of the main control room. We expect a complete initial energization on schedule in the next few weeks. The start of integrated flush is expected during the third quarter. And the main control room should be ready for testing around the end of the year with United 3 hot functional testing expected just over a year away. We will continue to optimize the schedule and work plan at the site. And we are committed to keeping our stakeholders informed. I'll turn the call now over to Drew to cover our quarterly performance in greater detail.
Andrew Evans: Thanks, Tom, and good morning, everyone. As Tom mentioned, in the first quarter of 2019, we achieved earnings per share of $0.70 on an adjusted basis, which was in line with the expectation that we provided on our last call. This compares to $0.88 on an adjusted basis for the first quarter of 2018. The primary drivers of the change were $0.11 related to earnings from divested assets, and $0.07 of negative weather year-over-year. We're thinking about the reduction associated with recent divestitures, keep in mind that we expect the transition for transactions to be EPS accretive on a full year basis, after taking into account avoided equity issuance related to increased equity ratios at our regulated utilities last year. And to put the weather impact into context for you, while, some areas of the country saw colder than normal country temperatures during the quarter, temperatures across our Southeast service territory were 25% warmer than normal, representing the second warmest first quarter in the last 20 years. We were able to overcome this weather impact through diligent focus on controlling costs during the quarter. A detailed reconciliation of our rent are reported in adjusted results is included in the morning's release and the earnings package. Taking a look at customer growth, we added 12,000 residential electric and over 7,000 residential natural gas customers across our regulated utilities, which is slightly higher than total residential customer additions for the same period in 2018. This customer growth is driven primarily by job and population growth in our Southeast service territory that outpaces the national average. Weather adjusted electric customer usage was down approximately 1% year-over-year during the first quarter due to a combination of factors, including continued energy efficiency and technology advancements across all customer segments, a slowing pace of new commercial customer addition and weakness in industrial sales due largely to several temporary plant outages in our territory. Looking ahead, we continue to expect combined growth and usage for retail electric sales to be flat to 1% for the year. While we see some signs of modest economic cooling across the commercial and industrial classes, economic development activity in the Southeast remains strong. During the first quarter, major companies like Airbus, Carmax and U.S. Deal announced new projects in our service territories expected to create over 8,000 new jobs. Taking into account our first quarter performance, economic indicators and our forecast for the remainder of the year, we still expect to achieve our adjusted full-year EPS guidance of $2.98 to $3.10 per share. And our estimate for the second quarter of 2019 is $0.71 per share. As Tom mentioned earlier this month, Southern Power announced the pending sale of its 115 megawatt Nacogdoches generating facility to Austin Energy for $460 million. In this transaction, we are divesting of the only biomass facility in Southern Power's portfolio, yet another example of our ongoing commitment to simplify the business. The Nacogdoches sales expected to close in mid 2019. In aggregate, our 2018 and 2019 divestitures have proven to be an efficient source of equity with a substantially lower cost of capital than issuing new common shares. These transactions have also enabled us to significantly strengthen Southern Company's balance sheet as evidenced by the $4 billion or over 25% reduction in holding company debt year-over-year. We have consistently demonstrated tremendous discipline as both a buyer and seller of assets. We will maintain this disciplined approach as we continue to be thoughtful and strategic and seeking to further improve our state regulated utility-centric growth profile. On the financing front, I'd also like to highlight the $1.67 billion additional Department of Energy Loan Guarantee Program that was closed in March for Vogtle Units 3 and 4. This brings our total authorized BOE financing capacity for Vogtle 3 and 4 to $5.13 billion, of which we've drawn approximately $3.5 billion to date. As always, customers are at the center of everything we do, and when compared to traditional financing methods, we estimate this program saves our Georgia customers over $500 million. We appreciate the continued partnership of the DOE as we work to bring Vogtle Units 3 and 4 online. I'd now like to call your attention to our recent dividend increase. At its last meeting, the Southern Company Board of Directors approved an $0.08 per share increase in our common dividend, raising our annualized rate to $2.48 per share. This is our 18th consecutive annual increase. And for 71 years, dating back to 1948, Southern Company has paid a dividend that was equal to or greater than the previous year. The Board's decision to increase the dividend reinforces the strength and sustainability of Southern Company's businesses, business and supports our objective of providing superior risk adjusted total shareholder return to investors over the long term. Before I turn it back over to Tom, I'd like to give you a brief update on our regulatory calendar for the remainder of the year. We plan to file base rate cases with the Georgia Public Service Commission for both Atlanta Gas Light and Georgia Power in mid-summer. We expect to ease Georgia proceedings as well as depending rate case for Nicor Gas in Illinois to conclude in late 2019. Mississippi Power is scheduled to file a base rate case with the Mississippi PSC in the fourth quarter of 2019. And in addition, we expect Georgia PSC's review of the Georgia Power integrated resource plan to be completed in July. Tom, I'll turn the call back over to you.
Thomas Fanning: Thank you. I will now touch on some early progress on our carbon reduction initiatives, and then we'll take your questions. Last summer, we announced the goal to achieve a 50% reduction in greenhouse gas emissions by 2030 with the transition the low to no-carbon by 2050. Looking at our energy supply, during the first quarter, 30% of electric generation was from carbon-free resources, so nuclear, hydro, wind and solar. Generation from coal declines from 27% in the first quarter of 2018 to 23% for the first quarter in 2019, and the balance was generated by natural gas. The decline in coal generation will do mainly to low natural gas prices in higher hydro generation in the first quarter. In addition, continued low natural gas prices coupled with higher operating costs led to the recent announcement to retire 2,000 megawatts of older coal units across the system. The transition of our generation fleet delivers to our customers and optimize portfolio of clean, safe, reliable and affordable energy. In closing, I'd like to highlight that Southern Company recently ranked number 14 on Forbes Magazine 2019 List of America's Best Employers. Of the 500 large employers ranked, Southern Company was number 1 among industry peers, and number 1 in Georgia. This is the second consecutive year that Southern Company ranked in the Top 20. A key to successfully building the future of energy is acquiring and developing top talent. Recognition at the Forbes ranking is a positive affirmation that we are indeed creating a culture that furthers this goal. Again, we're very pleased with our start of the year from both a financial and operational perspective. We remain keenly focused on the progress of Vogtle 3 and 4, and our committed to keeping you informed as we reached key milestones on this important project. Thank you for joining us this morning. Operator, we are now ready to take questions.
Operator: Thank you. We do welcome all questions or comments. [Operator Instructions] And our first question comes from the line of Greg Gordon of Evercore ISI. Please proceed with your question.
Greg Gordon: I only have one question. But as Ronny Dangerfield said, it's in 27 parts.
Thomas Fanning: Yes. I feel free. Fire away, my friend.
Greg Gordon: So two questions: one is how often just that we can level set expectations. Do you expect to give us update now that you've rebaseline the schedule on where you stand in terms of optimization of performance at the site and where you are inside that made a November timeframe? Will we get it quarterly, will we get it semi annually? How are you going to keep us up to date and how things are trending?
Thomas Fanning: Well, certainly, you'll get it via filings of the Georgia Public Service Commission. You'll get it on the earnings call for sure. So it's really whatever happens at the Georgia Public Service Commission augmented by these calls. Look, when we look at the re-baseline, we were very pleased with the result of it. It confirms what we thought we knew and actually gave us greater certainty to the November in-service dates. We talked a lot about would we do more rebaselining? I'm just guessing right now. So this is not factual. This is my judgment. We won't do another rebase on 3. We will look at 4. But we feel pretty good about the results and that's a decision we would make in a year or so. The other thing everybody should just realize is every week we re-optimize, we try to rebound. We try to improve our current state. This rebaselining thought was a big teary effort that required a lot of manpower. I think if I had to guess, probably no more rebaselining through the project, but we'll reassess that, particularly for Unit 4 and a year or so.
Greg Gordon: Okay. And my second question is with regard to the increase in the five year CapEx forecast. At the same time, you've raised more capital through assets sales. So what's the current assumed common equity need when you net out the success you've had with asset sales offset by the opportunity now and necessity to deploy more capital into the core utility businesses? And could that be reduced by even further pairing down to the asset base?
Andrew Evans: Greg, this is Drew. So the total plan is for us to invest about $38 billion over the plan period. And we were purposeful in construction of that plan in meeting number of our goals with largest of which is make sure that we can grow earnings per share about 4% to 6% over the time period. What that plan told us in this last iteration, or what we described with a need to issue about $500 million worth of equity in each year of the plan or about $2.5 billion -- little more than $2.5 billion in aggregate. Mankato was certainly a transaction that we had included in the plan. And Nacogdoches, not as a placeholder, but it was a little more resident in our thinking. And so, I wouldn't say that these two transactions will reduce that need for $2.5 billion worth of equity. But we will evaluate options over time. We will look at our liquidity and how it evolves over that five year period to really establish when we might build a turn that really to -- principally the dividend reinvestment program off.
Operator: And our next question comes from the line of Angie Storozynski of Macquarie. Please proceed with your question.
Angie Storozynski: So two questions. One is can you give us a sense how the pump issue at Sandman is or might be impacting Vogtle? And secondly, the experts company that the staff with Georgia Power has hired us to oversee the Vogtle site. Do you have any sense of what their take will be or is on the COD of Unit 3 and 4?
Thomas Fanning: Yes, sure. Yes, absolutely. So with respect to the RCP, I think, we have people on-site there. And Chinese investing out have been really good in allowing our folks insight as to what's happening on the site for all issues. Of course, with respect to the RCP that was announced publicly, I guess, in March, you should know that there are 16 of these pumps between the two plants, 15 of the 16 are doing fine. The one piece of equipment that failed on this one pump is really a fastener of the pump. It's not an internal for the pump. And it's a very small piece of circular metal. I don't know it looks like a ring of pattern or something. They're doing a root cause analysis, and we'll see what happened. We don't believe there's any systemic problem. The rest of the plants are operating fine. And when you start up a plant like this, it's not surprising you have this kind of issue. So how did it impact Vogtle 3 and 4? Certainly, we are keenly interested. We continue to learn from this issue and any other issue on Sandman and Haiyang. And so we evaluate kind of plants that may arise here at Vogtle 3 and 4. For example, under the leadership of Steve Kuczynski and Glen Chick on-site, when we first heard about this RCP, we created a tiger team of engineers and construction people to go in and evaluate. Well, what if there was a problem that did impact us, what would we do? So we actually have now contingency plans in place to be able to manage any of the problems. Right now, we don't foresee any problems at Vogtle 3 and 4. And I can go further if you want. But right now, it appears to be limited to one pump, 15 to 16 are fine. It doesn't appear to be a systemic or design issue. The other issue you raise is really kind of an interesting issue. One of the things I do know, the independent monitor, Dr. Jacob is a terrifically smart guy. And I know, in his background, one of his particular areas of expertise is this notion of turnover from construction to startup, so that testing process. And Angie, that's why we try to draw people's attention now to the milestone. And really now focus on, of course, we're focused on the rest of construction. So it's moving from construction to startup, I think now becomes a critical area of focus. I know Dr. Jacob is all over that as well. So we share his interest in that.
Operator: Our next question comes from the line of Steve Fleishman of Wolfe Research. Please proceed with your question.
Steve Fleishman: So I guess, just -- I kind of had the same question was just -- would you given that -- this is now scheduled with Bechtel for the rebaseline et cetera. Do you feel like the staff report this time will be a little more kind of aligned with your update whereas in the past, it's been a little bit more skeptical, and just as we kind prep to see what they say in July?
Thomas Fanning: I never want to get ahead of the staff and what they're going to say due is. I think everybody is a little bit of the broad statement. Most people would be very pleased with our progress on construction and productive hours work per week. And our ability to hit milestones has been really good since we've taken over the project, really since last July anyway. So I think that kind of is uniform. I think now people are really focused. As I just said with Angie, this notion of milestone achievement and turnover from construction to startup is a big issue. That's why, in fact, in the materials we provided you guys the slides, et cetera, we really did put more out there about what we expect, what the margins are for these major milestones? I think that is probably going to be where you get a lot of conversations.
Steve Fleishman: On that topic, just how well prepared is the NRC for that kind of stage?
Thomas Fanning: I think, really good. In fact, I could give a report, in the past we have always -- not always, but in the past, we've talked a lot about ITAAC, remember that integrated tests that once achieved, will allow us to move to fuel load. So that's really critical stuff. And you know we've really worked constructively with the NRC to get the right testing regime in place to be able us to go hard on-site. I can just tell you our progress there is good. I used to hold that out as one of the issues we were particularly worried about. I haven't talked a lot about it so much lately because I feel like we're just making a lot of good progress. Just though, you know, let's say as a year-end, we will have 200 ITAACs left for free. You remember we started at around 850. We moved that number down cooperatively with the NRC to 450. And we're moving through issues this year. So by the end of this year, we'll think we'll have everything but about 200 left for Unit 3. I've visited with each of the NRC commissioners personally along with our team here. I think everybody realizes, everybody at the federal government level whether it's the United States cabinet, Congress, the NRC, how strategically important this is for the United States of America to succeed. So we're getting all the resources and cooperation we made in order to be successful.
Operator: Our next question comes from the line of Julien Dumoulin-Smith of Bank of America. Please proceed with your question.
Julien Dumoulin-Smith: So, Tom, maybe then to just continue with the focus on Vogtle here, if I can. Can you elaborate a little bit more on that higher ramping of the 160,000 as you talk about? I just want to get a little bit more of a sense of, again, where we get into workers? Is this included Canada? And how do you see that today given all the talk and focus on worker ramp that we had in the last year? Maybe we'll start there?
Thomas Fanning: You bet. A problem that we were intensely focused on, say last year, seems to be getting under control. And that was we talked a lot last year about the ability for us to resource skilled electrical workers, particularly pipe fitters, secondly, on-site. You may remember we moved to top decile compensation. We've had terrific compensation from the building trades. And we have more than accomplished all of the resource requirements we need. And in fact, in the last earnings call, we essentially have a waiting list of backlog of people that want to come work to the site. So that's how we achieved. If you remember, we set the target of hitting 140,000 hours per week, kind of end of March into April, we'll sure enough we did it sooner. We've talked about that a bit. We feel very comfortable. And we did all of that without Canada, okay? We feel very comfortable in our position right now. When we reevaluated the cost and schedule relationship and the baseline effort, and it's moved to 160. We did so with confidence that we could hit the staffing levels. And secondly, now we're going to need to add more supervisory personnel. I know a question that would come to your mind and has been in our mind is, oh, when you're adding people, you're going to be less efficient. You should know that most of these additions now to move from 140 up to 160, on the average over this smaller eight months period. We'll be done largely on the second shift. If you look at work, deployment so far, we've earned ours roughly 70% on the first shift, 30% on the second shift. We're going to tilt more into the second shift. It will go to the 70-30, it will be 60-40, 55-45. And of course, it will vary for some weeks. And this is -- we call also a ramp up into say August-September timeframe. So we have the ability to bring people on site in a very kind of prudent way, train them, and will have the right folks in place. I guess the good news is that we've gained a lot of confidence in our ability to resource personnel and some managed to work. We feel very confident about moving to the 160. And that gave us the ability to think about resequencing some work and doing some other things that provided us with this new rebaseline schedule. One other thing you just should know, I think, it's an important frame of reference. We actually argued here about whether we should put this in the script or not. So we gave you a baseline -- bookings. That's said, if we hit 100,000 hours per week, we can hit kind of our November schedule, and the 160 allows us to hit the aggressive schedule. If you want to another number, it is a reasonably linear relationship working about 130,000 hours per week. So that's kind of what we've done this year so far allows us to achieve kind of July, maybe August schedule. So we're feeling pretty good right now. Of course, there is a boatload of work to do, a ton of attention that needs to be paid, continued focus on efficiency, but we're feeling pretty good.
Julien Dumoulin-Smith: Right. Where the July, August was relative to November in-service, right? That's what you're saying?
Thomas Fanning: Yes. Always compare everything to November. That is our target. So if we beat November, there will be tick-or-tape parade.
Julien Dumoulin-Smith: And then just a quick clarification on your commentary earlier with respect to Greg, are there any other asset sales assumed in the plan relative to the $2.5 billion of equity? And then secondly, if you can just, on electric sales, I know that you've commented a little bit on whether adjusted trends. It doesn't change anything around earnings expectations for the year. Does it?
Thomas Fanning: Well, yes, I'll do a first shot, and Drew kind of follow-up here. Look, there's nothing substantive in terms of asset sales for the rest of the year. We would only do that on an opportunistic basis. I think both of these deals have been great. Between those two deals as well, $1.1 billion?
Andrew Evans: That's right.
Thomas Fanning: So all of that help, we’ve been -- all that help with respect to kind of where we're sourcing equity and everything else.
Andrew Evans: I think, well, you've described it exactly right. Nacogdoches in itself was not particularly in our plan. It does have a general downward bias in our equity needs. I think that both, remember, that both of these transactions are effectively used to repay indebtedness in total, and then ultimately reduce what we have to draw in terms of shares in the grip. And so we're always going to look for opportunities to shorten the length of the grip program, but nothing is planned in the -- nothing is within the plan today that would require additional sale of assets. The other question Julien that you asked was related to sales. It was a rather warm quarter down here. And so second warmest in 20 years. We had good cost control over the period that allowed us to meet the estimates that we provided to you, and for budgets that we provided to ourselves internally. There are certainly limits to the ability to reduce expenses. We are certainly still sensitive to weather. And so, we'll just have to sort of standby to see how the summer goes. But I don't think that these two things are necessarily or naturally correlated. And so I don't have any discomfort with our ability to meet our guidance range for the year.
Thomas Fanning: Hey Drew, wasn't it about $0.08 compared to normal on weather?
Andrew Evans: That's right.
Thomas Fanning: So you think about it. We hit the estimate that we gave you last time with $0.08 of headwinds. So I feel pretty good about it also.
Operator: Our next question is coming from the line of Michael Weinstein of Credit Suisse. Please proceed with your question. 
Michael Weinstein: My question is about Unit 4. I think you said that earlier that Unit 4, there might -- you might be considering the rebaselining at some point. I'm wondering is that you're -- if you're kind of indicating that, you might be willing or contemplating pulling workers off Unit 4 to ramp up on Unit 3 if necessary?
Thomas Fanning: Yes. Thank you for that question. I didn't say I was considering it. Somebody asked me, would -- I guess it was filling out the question. What we will be thinking about going forward? Unit 3 feels pretty good. The rebaseline should be good for Unit 3. We'll evaluate Unit 4. Our general thrust is that Unit 4 is a year behind Unit 3. And that's staged on a variety of metrics and the best way to employ personnel on the site and a variety of other things. In my opinion, Unit 4 should be a carbon copy of Unit 3. And what we have consistently found is that when we learn on Unit 3, it accrues to the benefit of Unit 4. And so in general, I can't promise this. I am not promising this. But in general, our experience has been Unit 4 performance is better than Unit 3. So there might be a chance to improve the scheduling for. I'm not promising that. I'm just telling you that the potential.
Michael Weinstein: Is part of the plan to ramp up on -- to 160 that you might -- you might pull people up to Unit 4 in order to make sure the Unit 3 comes in on time?
Thomas Fanning: You shouldn't think about it that way. We are optimizing Unit 3, and we are optimizing Unit 4. It is exactly a 1,200 difference between the two. We're not going to cannibalize it. That's the kind of characterization you want to make between the two units. But you should know, again, as we re-optimize every week for heaven sake, we always evaluate the best resource, the best allocation of personnel. If there was a short-term issue that arises, sure, we could take advantage of it. But in general, both units are going fine.
Andrew Evans: And I hope it's clear that those -- hours work per week represents total production, total construction of the site, so 160 is both Units 3 and 4.
Thomas Fanning: That's right.
Andrew Evans: But here's the thing. We are so focused on getting Unit 3 to completion, and getting Unit 3 to fuel load. And I think our metrics show that we can do that. We are working like dogs and make sure it happen.
Michael Weinstein: Got you.
Thomas Fanning: The rebaseline effort did include both units, right?
Michael Weinstein: Right. Okay. Thank you.
Thomas Fanning: You bet.
Operator: Our next question comes from the line of Praful Mehta of Citigroup. Please proceed with your question.
Praful Mehta: I guess first question was on testing. And just wanted to understand how much testing has been done so far in terms of the equipment that's lined there? And what have been the most recent results around the testing phase that would give us any color around how we think the process is going?
Thomas Fanning: Yes. So what's interesting is by year end -- so some testing has occurred. And I think, I even suggested in prior calls that the turnover of some of the very first systems, the first two or three that we did were not done the way we wanted them to be done. We hadn’t really focused on the right processes in place and everything else. And so we've really turned our focus now, of course, we're focused on schedule. But this idea of moving from construction and service and the testing regimes in place, we've really kind of tighten the screws on that. Lately, we've had good experience. By year end, we expect to have 45 of the 95 total systems for Unit 3 complete. Right now, when you think about both systems, both Unit 3 and Unit 4 were about 12% of our testing is complete. So we already have started. So what you're seeing right now is that whatever you want to call, the waterfall curve, the ramp up, whatever. And that's why we're giving a lot of emphasis to these milestones. This is, I think, one of the big focus areas for you and us, for '19 and '20, as we move to completion of construction and fuel load in this whole turnover and testing system.
Praful Mehta: And so, in your mind, as you look at this testing phase, where are the areas where you think testing could show up with issues of concerns or which other sites or which other, I think testing spots that, I guess, a critical path from your perspective? Any particular one that we should be looking out for?
Thomas Fanning: Yes, sir. On the slides that we've provided you, I guess that Page 7 in the slide. We've given you -- and we really argued a lot about how to do this most effectively. But there are seven big milestones remaining, okay. We did this just for Unit 3. If you want to go to Unit 4, take these dates and add 12 months, okay. So interestingly, initial energization was a milestone that's really important. But it was established back in June of '18. And sure enough we did it. Now we haven't finished it, but we're right on schedule. We feel good. That's why it has a start. And then as you move forward, the start of the integrated flush, we have a timeframe there kind of summer into fall when we want to start that effort. That's going to be moving water through the pipe systems and cleaning out everything for the plan is going to shape as it needs to be when we turn it over for testing. Once we get them the main control room ready, okay, so that now we've connected all the wires. Now that sounds like a simple thing, but if you could imagine, a lot of the electrical work that we are dealing with involves connecting A to B in the plan. When I push a button or throw a switch that it has an effect elsewhere in the plan. Getting the main control room ready settings, we've done all the electrical work we need to do to basically run the plan from the control room, big deal. Then we move it. And I should say for the first three milestones, of course, we've already done initial energization. But for milestones two and three, we have some flexibility and how to move those through time. Now let's go to the other big three. Start coal, hydro testing is a big deal. The hot functional testing is essentially signifying that construction is substantially complete. You will see the hours work from our Bechtel partners really fall off, once we complete our hot functional tests. What's remaining there are essentially all of the final testing items, ITAAC completion, everything else that leads to fuel load. Once we get the fuel load, man, we have gone hot on the system. We have six months allowed between fuel load and in-service. Frankly, China did it in less than six months. We think we could probably beat that or do it or better or whatever, but we're still allowing in the scheduled six months, and then in-service. Those are the steps. We think within those seven, there are frankly hundreds of startup tests that we will be doing. But identifying in these major milestone components, we thought was the most effective way to communicate with you and frankly with our regulator.
Operator: And our next question comes from the line of Ali Agha of SunTrust. Please proceed with your question.
Ali Agha: First question, I just wanted to clarify. So as on Vogtle, as you're looking at these milestones and going through your targeted productivities et cetera, what's the biggest bottleneck right now that you see out there?
Thomas Fanning: That's a wonderful question. Look, I would go to something that we always see. Now we've been good at it so far -- because we've been good at it, I don't want to say it's a walkover, but, getting people on-site, getting them trained and getting a productive on the workplace. And we're going to put most of these people on the second shift as I suggested moving from a relationship of 70-30 to 60-40, 55-45 is a big deal. When you think about rebaselining, we were very gratified with kind of actually a small reduction in hours on the electrical work. Still, I would argue the electrical work to be performed in these confined spaces is the most challenging work we do. So that is kind of the issue. It remains our critical path. And I think the reason -- one of the reasons why we felt more confident now, finishing rebaselining about November is that our critical path actually got improved the rebase as a result of the rebaselining, but it remains critical path. One other point, even though we -- when you add people, we worry about so many people being crowded in the containment area and all that and loss of productivity. Well, we're going to move into second shift, so you should lessen that problem a bit. We're going to need to bring more supervisory personnel. Now those are backfill people. Like, I say, I communicate with my friend Brendan Bechtel roughly every two weeks, Jack Futcher, one of their great leaders has been on-site so much Bart, Brian, all the people on that team do a hell of a job working with us in a great partnership to get this stuff done. I will say however, executing effective supervisory oversight of more people is not a slam dunk. So we should just continue to have intense focus on that. So if I had to say just this last thing, wingspan. We're increasing our bandwidth. I don't know, however, you want to call it. Moving from the 140, we just did, I think 143 last week. Moving from the 140 to 160 on the average in an 8 months timeframe, we think is doable, but it will require more resources. It will require more effective supervision to stay productive. That's probably is our big deal.
Ali Agha: Second question. I wanted to also clarify on when you all talk about quarterly outlook, you tend to give us a single point estimates like you just did for the second quarter, you gave us for the first quarter as well. But for the year you've got the range out there. So when you're looking at the single point estimates, I just wanted to be clear that that sort of target the midpoint of the range or the high-end, what's the relationship between those single point quarterly estimates and the full-year guidance you layout for us?
Thomas Fanning: Hey, Ali, I'm going to turn this over to Drew. I'll quit talking. But I do want to say you hit it exactly right. When we hit quarterly estimates, they are, in fact, estimates. It's not new guidance, okay? Guidance for us is the range. So when we give you an estimate, that's just the best of our ability. Drew working with the CFO, and working with the operations people, in fact, all it is, right? We feel very confident about the range. The range is structured with the midpoint being our expected value. But I can tell you we have intense efforts here to beat our expected value.
Andrew Evans: Not a lot to add. When we set estimates for the quarter to come, we're trying to give you an indication of where we think we're going to come out. Based on economic conditions, our goal is to target something that would produce a mid range result for year-end. It's easier for us to provide first and second as we sort of move through it. Third quarter is certainly the largest quarter in contribution to our annual earnings, and so probably has the most range around it. But generally Ali, we're trying to target what would be middle of range. If we get to a point, I think we've been running a little bit higher in the range as we did at the beginning of last year, which had a relatively, well, significantly colder start than this year. We were able to move guidance up, I think quite a bit earlier in the year last year.
Thomas Fanning: Yes. And other than institutional knowledge here, the only time, I think that we have commented on our range and change it was last year, at least in my experience now that goes back 20 years in various roles here even as CFO. We typically only readdress guidance at the end of the third quarter, which is our October call. That’s because we've got through a high revenue quarter this summer. But we push like crazy to get higher in the range. If you look at our track record, we typically do really well within the range. But from a FD standpoint, all we have is a range right now.
Ali Agha: Lastly, Tom, just remind us when does the Georgia Commission look at the cost -- overall cost impudency of Vogtle? Is it after Unit 3 comes online or is it after both units come online? Can just remind us?
Thomas Fanning: Yes. Well, so we have the VCM processes that undergo every six months. And then I think a process will begin on Unit 1, I mean, I'm sorry, on Unit 4 fuel load. So the date that is expected to be on the November schedule is -- let me see if I can find it, April 2021
Andrew Evans: April 2022.
Thomas Fanning: 2022. April 2022 would be the kind of initiation of that.
Ali Agha: Thanks so much.
Thomas Fanning: But, yes, I just want to add for clarity. These VCMs are very helpful along the way.
Operator: And our next question comes from the line of Jonathan Arnold of Deutsche Bank. Please proceed with your question.
Jonathan Arnold: Just a quick question and I missed some of the calls. I apologies if you answered this already. But has there been any change in the contingency that you are factoring in on Vogtle as part of the rebaseline or anything to report that?
Thomas Fanning: No. The contingency remains, I think, from 100% dollars around $800 million. And we have not used any of it to date.
Operator: And our next question comes from the line of Michael Lapides of Goldman Sachs. Please proceed with your question.
Michael Lapides: I want to change the topic a little bit. You touched some on the 2 gigawatts of coal retirements. Can you talk about: a) when those units go off line? And b) how you're looking at the fleet over the next, I don't know, three to five years whether you see another kind of -- another round of coal retirement coming? And how you might replace that capacity if you need to replace that capacity?
Thomas Fanning: Well, so it's very interesting stuff there. Gosh, even in response to the Clean Power Plan, actually, before the Clean Power Plan was put forth by EPA, we started thinking about -- I can remember we had a daylong meeting in DC about this, about what we came to call a better way that is a way to think about rationally transitioning the generation fleet so that we preserve for the benefit of customers the best balance of clean, safe, reliable, affordable. Essentially, we've been executing on that plan. And the only change I would say is with the continued benefits of the revolution that has been directional drilling and cheap plant fuel gas prices, that retirement has been accelerated. So I would say that has been a factor. The other big factor has been greater penetration of renewables in our system, particularly in Georgia, to a lesser extent in Alabama. One more factor that's very interesting. Georgia is going through its IRP, and we don't want to front run that process. So all of these decisions -- there maybe an overlay of a strategy that carries us through to 2015, and frankly, we have to take into account the diminishment of total resources. If you're going to keep coal alive, it must have carbon capture technology on it. We continue to invest in the R&D for those solutions. But in general, you need to think about coal going down over time, natural gas staying in its place, more renewables, nuclear being preserved. So this nuclear will complete Vogtle 3 and 4. We'll complete one phase of that. Probably in the 2030s to 40s, we'll think about the so called Gen 4 reactors. I think if we are serious about carbon, we do need as a nation to continue to invest in nuclear technology. But for us, that won't be for my administration call. That's going to be for two or three down the road, but you will be in the 30 to 40, where I think we need to add more news. The other thing that's just kind of interesting here, there could be more acceleration of this transition. I think it's going to be key by the various things that we are working on in a rather unique way. There's so much rhetoric out there about storage technology and about carbon capture. The only people that are really investing, I wouldn't say only, but in our industry, we by far lead in proprietary, robust, research and development. We're the biggest funder of APRI. Dr. Steven Specker is on our board. Frankly, he's the Lead Director. Ernie Moniz is on our board. We are the guys that really are putting our money forward to create these solutions. And we don't rely on just rhetoric to see all this stuff happen. We're trying to invent the future. One last point, there is a change in this 100-year old business model, where we had created a very small, but very important option. And that is the miniaturization, if you will, of making, moving and selling energy away from central-station approaches to so called micro grids, where on commercial and industrial customer's location they may have make, move and sell characteristic. Our subsidiary PowerSecure, now aligning very closely with Southern Power, and perhaps another subsidiary we have the fuel management Sequent, are really working to advance this idea. We had deployed. Southern Company has deployed now with PowerSecure, 85% of the nation's micro grids. So if that kind of different business model starts to take hold that will have an effect on the transition of the generating fleet in America, and may help accelerate it. So, sorry of a long-winded answer. Except to say shorthand, we have a big strategy in place. We have an important option on thinking about the change in the business model. We have important investments in items that will have some effect on the speed of that transition. Ultimately, tactically, these are decisions that must be made by our states.
Michael Lapides: Hey, Tom, one quick follow up. Do you see potential in the next couple of years, 3 to 5 years, but especially, given kind of the PPC, ITC benefits that change overtime for significant renewable rollout in outside of Georgia meaning maybe Alabama, maybe Mississippi? Or do you think that's more longer-dated?
Thomas Fanning: I don't know. Listen, I think both in Alabama and in Mississippi, those commissions are actively considering the attractiveness of all sources of generation. They -- if you look back at any of our commissions, they have a terrific track record of being innovative, creative, and really doing things for the benefit of customers. They don't get augmented on any particular issue of clean, safe, reliable, affordable. I think they do a terrific job of balancing those issues. So certainly, we will consider those things in the next three to five years. One other area of particular emphasis is the military. You may know that I think, anyway, I've been appointed to the Solarium Commission. My appointment was put forth by Mitch McConnell. And I think I'm either the one or two only private citizens that -- I know that's kind of a weird description, other than, say, military personnel or congressional personnel. Speaking about the next future military doctor, and that DoD will go forward with. Part of that military doctor and is tied up in, how do they think about operating in a digital or cyber environment, okay? Part of that will go to the resilience in their own energy operations. So there are cyber wars or kinetic wars. How do they think about their own ability to maintain their capability to listen, to learn and to fight back? That has a distinct bearing on the advancement of our thinking of micro grids and distributed infrastructure, certainly in the Southeast and the rest of United States. So we're participating not only an insight currently, but in creating military doctor in the future. You may see the military as an early adopter of some of these concepts.
Operator: And our final question comes from the line of Michael Weinstein. Please proceed with your questions.
Michael Weinstein: Hey, guys, quick follow-up. Back on Vogtle, maybe, could you just explain how the costs are increasing despite the heavy ramp up in workers over the summer and throughout the next eight months after that?
Thomas Fanning: I'm sorry. Give me a little more there. What are you looking for?
Michael Weinstein: Yes. How are you keeping the costs, estimates of the project unchanged despite the ramp up in work levels?
Thomas Fanning: Okay. So remember, ramp up in work levels is designed to accomplish the same amount of work in a different time frame. In other words, so if we say November '21, '22, and we have a schedule that is also associated with I mean, a cost schedule, a budget, this is what November '21, '22. Just because we're changing workflows, we're not changing the amount of hours, and in fact, from the rebaseline, the amount of hours actually reduced a bit, little over 500,000 hours in total. So costs estimate within that. So whether we ramp up from 140 to 160, I refer to the shape that is only for an eight months period. And we've considered kind of a balance of costs and scheduling in creating that shape. I think they are very consistent. There is no -- where you might see a problem in cost is if we try to say, let's go to 300,000 hours per week, where you would flood the people, you would flood the site with people, you would have tremendous inefficiency. The way we try to get this fuel efficiency concept is with our CPI statistics. So I think the most recent CPI statistics, last week, we did 143,000 hours at 1.11, I think. I think what we're showing you cumulative CPI 1.16. What that basically says is its 1.16 cost to deliver one hour effective performance. We try to give you a baseline to measure that against the total budget. So as long as we say below 1.4, then we're staying within our total cost estimates. So that's kind of way you should think about it. So when you said how are we managing costs and increasing in hours, we just changed the shape of the work. The work actually went down a wee bit, and we still think we're able to hit November with some margin right now. Our cost estimates are still well below the 1.4, and therefore we're still within the total budget for costs.
Michael Weinstein: So I mean, essentially, what you're saying is, you don't expect that hiring is going to be an issue. The cost of labor is not going to be higher to attract that more workers besides for a second shift, right?
Thomas Fanning: Yes, we've already incorporated. If you recall, when we went to top-decile pay, if I remember the numbers correctly, that was an $80 million kind of number. And that's a reasonable estimate. We handle that with other work that we picked up. And so we manage that without hitting contingency. We've managed that cost element. Within this current estimate, of course, we'll see. But we think we're okay. When we re-estimated -- one more point, when we re-estimated last July, we took all this into account as well.
Michael Weinstein: Right. Okay. Thanks very much.
Thomas Fanning: Yes. I hope that you got it. If you didn't, please call us back.
Michael Weinstein: We'll do.
Operator: And that will conclude today's question-and-answer session. Mr. Fanning, are there any closing remarks for today?
Thomas Fanning: Well, as always, we never say thank you enough, and while I thank you all for following Southern Company. This is a nationally important issue when you think about the importance of Vogtle 3 and 4. I really feel compelled with the value of Southern Company right now when you look at PE ratios and a variety of other things. As we continue to execute on Vogtle the way we have, and, of course, there is a lot of hard work to do. But my sense is the rest of the business at Vogtle 3 and 4, has been doing great. Thousands of people making thousands of great decisions we continue to perform over and over and over. As we continue to execute on Vogtle 3 and 4, my sense is on a risk adjusted basis. This is terrific a investment. We appreciate your interest in our company. We'll continue to work as hard as we can to follow through on these big objectives. Thanks everybody. See you soon.
Operator: Thank you, sir. Ladies and gentlemen, this concludes the Southern Company first quarter 2019 earnings call. You may now disconnect your lines.